Operator: Greetings and welcome to the Calix First Quarter Fiscal Year 2013 Financial Results Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. (Operator Instructions) As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, David Allen, Director of Investor Relations and Treasurer for Calix. Thank you, Mr. Allen. You may now begin.
David Allen: Thank you, operator, and good afternoon, everyone. Before we begin, I’d like to remind you that this conference call contains forward-looking statements regarding future events, including but not limited to, our development of new products that will continue to help our customers transform their networks; the ongoing expansion of our total addressable market; the future of business and financial performance of the Company and our expectations of revenue, gross margins, earnings per share, stock-based compensation and amortization of intangibles. These forward-looking statements are based on our expectations, estimates, and judgments and current trends in market conditions, and involve risks and uncertainties that may cause actual results to differ materially from those contained in the forward-looking statements. I'd encourage you to review the Company's various SEC reports, including our Annual Report on Form 10-K for the fiscal year ended December 31, 2012, available at www.sec.gov, in which we discuss these risk factors. All forward-looking statements are made as of the date of this conference call and except as required by law, we do not intend to update this information. Also on this conference call, we will be discussing GAAP to non-GAAP results. We are providing the non-GAAP estimates to enable interested parties to evaluate our performance in the same manner in which we evaluate our own operations. These non-GAAP measures exclude certain charges and benefits which we do not consider to be part of our ongoing activities or meaningful in evaluating our financial performance including stock-based compensation acquisition-related expenses if any, and amortization of acquisition related intangible assets. To help you better understand these results we have included a reconciliation of our GAAP and non-GAAP results in our earnings press release. All numbers that are discussed in today's conference call are non-GAAP unless otherwise noted. This conference call will be available for audio replay in the Investor Relations section of the Calix website at www.calix.com. In addition to our earnings press release which has been posted on our website. We’ve also posted supplemental financial data on the Investor Relation's section of the Calix website, which you may want to review in conjunction with our press release and conference call remarks. I would now like to turn the call over to Calix's President and CEO, Carl Russo. Carl?
Carl Russo: Thank you, Dave. Good afternoon, everyone. Joining me on the call today is Michael Ashby, our Executive Vice President and Chief Financial Officer. Before I turn the call over to Michael, I would like to give a brief review. We have begun 2013 with strong execution of our strategy. Our record results for a first quarter are indicative of improving priority for our customers and improving performance by the Calix team. We saw strength across all of our product offerings and customer accounts years and geographies. While uncertainties remain around the USF/ICC reform, many of our Tier 2 and Tier 3 customers are moving forward strengthening our broadband infrastructures while offering valuable new services. And we continue to make solid progress in our international business and are encouraged by the interests that we saw in the quarter. After Michael discusses our results in more detail, I’ll come back to provide some more comments. Michael?
Michael Ashby: Thank you, Carl, and good afternoon, everyone. If you have not already done so, I would encourage you to go to the investor portion of our website and download the financial slides that we posted concurrent with our press release earlier today. My prepared remarks will provide an overview of our financials and the related business trends, and I'll close by providing guidance for the second quarter of 2013. As a reminder, the guidance we provided in February for the first quarter called for revenue of $90 million, gross margin of just over 44%, operating expenses of $39.5 million and breakeven EPS. Actual revenue for the quarter was $90.5 million slightly above our guidance. Gross margin was 48.1% significantly ahead of our guidance. Operating expenses came in at $39.7 million, in line with our guidance and as a result EPS was well ahead of our guidance of $0.06 per fully diluted share. We were cash flow positive for the seventh consecutive quarter and ended the quarter with $48.1 million of cash on hand. We attended several investor conferences and meetings during the first quarter and talked about the fact that we believe we are well positioned in our Tier 1 and Tier 2 customers that the regulatory uncertainty that had affected our Tier 3 accounts slowly beginning to resume. Our results for the quarter indeed show progress in all of these areas of the business. Customer interest for our VDSL2 and fiber products remained high and we have strong bookings in revenue from the Tier 1 and Tier 2 accounts, continued recovery in the Tier 3 accounts during the quarter and increased sales and orders in the international arena. As a result, our first quarter revenue came a $0.5 million above our guidance and up 15.3% from the same period in the prior year. More specifically, we have made very good progress in selling former Qwest charge of the CenturyLink, a Tier 1 account. Our Tier 2 accounts continue to be strong and as expected, the Tier 3 accounts starting to get back to business as the regulatory uncertainty dissipates. On the international side, the combination of our own team’s success in building new Tier 2 and 3 customer relationships and our global reseller relation to Ericsson tied in international Tier 1 service providers have allowed us to continue to build that side of the business. To summarize, revenue was up 15.3% from the first quarter of the prior year, $90.5 million. We also saw an increase in deferred revenue of $10.4 million from the prior quarter to a balance of $65.5 million. Shipments against Broadband Stimulus orders are once again the primary factor leading to this increase. Broadband Stimulus revenue itself came in at just under 10% as expected. We had one 10% customer in the quarter. International revenue was 14% of total revenues, up significantly from 7% in the first quarter of last year and 9% last quarter. Gross margin was 48.1%, up 3 percentage points from the first quarter of 2012 and up 4.9 points from the prior quarter. We had anticipated gross margin to come in at just over 44%. The increase was primarily driven by a favorable mix of products and customers. Very importantly, we continue to see solid growth in our E-Series product, which was stronger than we had expected. Operating expenses came in at $39.7 million, in line with our guidance and up $5 million from the same quarter last year and up $3 million from the prior quarter. This increase reflected as expected the full quarter of the employees we assumed from Ericsson, our new location in San Jose, the funding of an employee bonus plan, and the absence of the one-time accrual reversal that we recorded in Q4. The slightly better than anticipated revenue, significantly better gross margin combined with in line operating expenses resulted in earnings well above our guidance of breakeven at $0.06 per share for the quarter, up from $0.01 per share for the second quarter in the prior year and equal to the EPS recorded in the fourth quarter of 2012. Before I turn my attention to the balance sheet, I would like to remind you that on a non-GAAP basis we exclude certain charges that we do not fit to be part of our ongoing activities are meaningful in evaluating our financial performance as a company. These are two non-cash items, the amortization of intangibles and the amortization of stock-based compensation. As we mentioned last quarter, we are no longer excluding any expenses related to the acquisition of assets from Ericsson. Turning to the balance sheet, we continue to manage our working capital and recorded our seventh consecutive quarter of positive cash flow from operations ending the quarter with total cash of $48.1 million. DSO was 56 days, up from 51 in the prior quarter. Inventory levels decreased this quarter to $39.2 million from $43.3 million at the end of Q4, but inventory turns decreased to 3.7 from 5.3 the previous quarter. Both of the increase in DSO and the reduction of inventory turns are because of the linearity of the quarter. The linearity is not related to bookings, the product to component shortages in the first part of the quarter due to the changing product mix. This resulted in uneven shipments during the quarter which impacted both the DSO and inventory turns calculations. Deferred revenue amounted to $65.5 million, up $10.4 million from the prior quarter driven primarily by the Broadband Stimulus shipments that we expect will be recognized as revenue during the second half of this year. Let me now move to our guidance for the second quarter of 2013. While we remain cautious about the macro economic environment and the regulatory uncertainty associated with the USF reform, we are pleased with the strength we have seen in the business over the last few quarters and expect to build on that momentum. Over the last few quarters, we have increased the deferred revenue on the balance sheet and as you already aware, the timing of when we can recognize revenue in these contracts is difficult to accurately forecast. Accordingly, we are guiding to arrange revenue for the second quarter of between $94 million and $98 million. Gross margin is likely to come in at between 45% and 46%, this is down from the 48% recorded in Q1, but up from our prior average gross margins and continuing in the right direction. Specifically, in the second quarter, we do not expect the customer and product mix to be as favorable as we experienced in the first quarter. As we have repeatedly stated, our gross margin can fluctuate from one quarter to the next, and we believe that over any full quarter period, we will see a gradual increase towards a long-term target of gross margin in the low 50% range. Q2 operating expenses were increased by around $1 million to approximately $40.7 million at the low end of the revenue range and $41 million at the high end of the revenue range. The increase in expected operating expenses is primarily the result of across-the-board salary increases that came into effect in April after two years of no general increases and variable commission expense. The result in EPS will be in the range of $0.02 to $0.06 per share. DSO should remain in the targeted range between 50 days to 55 days. Inventories will be essentially flat and once again we plan to be cash flow positive for the quarter. With that, I will turn the call back over to Carl.
Carl Russo: Thank you, Michael. As we said last quarter, 2013 looks to be an improving year for the industry and we are better positioned than ever. With our first quarter in the books, we believe that 2013 will be a strong year for us. Our Unified Access portfolio continues to be valued by a growing set of customers and prospects allowing us to grow our market share. In February, the FCC issued its sixth order on reconsideration of its USF/ICC transformation order. While slightly more favorable to service providers, we believe it has now removed most of the uncertainties and the result is we are seeing customers making decisions and beginning to move forward. Our international efforts are bearing fruit as our number of new customers is growing at a healthy rate and our opportunities with Ericsson continue to grow. Finally and perhaps most importantly, our team’s execution of our strategy continues to improve. At this point, I would like to turn the call over for questions. Jessie?
Operator: Thank you. (Operator Instructions) Our first question comes from the line of Mark McKechnie with Evercore. Please proceed with your question.
Mark McKechnie – Evercore Partners: Great, thanks. Looks like a pretty good quarter guys. I wanted to ask maybe for Michael on the stimulus revenues of the blocking and tackling around that, can you give us a sense of how much came in on this quarter and how much you think you are including in your guidance for next and how you see it rolling out throughout the year?
Michael Ashby: Yes, Mark. We don’t specifically give out the Broadband Stimulus numbers, but what we have said is that most of the Broadband Stimulus orders came in last year, there are some trickling orders still coming in, but generally speaking most couple of book last year and we're recognizing the revenue on those as we go through 2013 and 2014. It has been and – it has been for the last three quarters just about under 10% of revenue and we expect that to continue until probably sometime through mid-2014 when the shareholder recognized.
Mark McKechnie – Evercore Partners: Okay, gotcha. And then maybe Carl, if you could give us a bit of an update on how the efforts with Ericsson are going on, not so much with the products that you acquired but with getting your products qualified and on their systems and set up to – talked through their sales force?
Carl Russo: So, as we stated last quarter and its tracking the same. We continue to go down pretty methodical integration of systems, management systems as you know the EntriView system of Ericsson is owned by us. And so I'm actually quite encouraged with the amount of activity that we're seeing through all of our channel partners and specifically not only around the BLM 1500, but also around the E7 family.
Mark McKechnie – Evercore Partners: Great, thank you.
Carl Russo: You bet Mark, thank you.
Operator: Thank you. The next question comes from the line of George Notter with Jefferies. Please proceed with your question.
George C. Notter – Jefferies & Co.: Thanks very much guys. I guess I – we’re trying to better understand the Ericsson situation, as well. If I go back there where some disappointments in terms of the amount revenues that you guys were going to generate to the Ericsson channel. Can you give us any sense for how much revenue you got from the Ericsson channel this quarter? And then I think you guys had looked at doing $5 million to $6 million per quarter on a go forward basis. Is there an update to that number now, is that still appropriate or do you think you can do better than that going forward, what’s the view there? Thanks.
Carl Russo: George I appreciate the question. But as we said we’re not going to call out any particular channel partner, and as the proxy the best place to look would be into the international numbers. I would just merely characterize this as I’m very encouraged by what I’m seeing in all of our efforts there. Michael if you want to add from an international perspective, any percentages feel free.
Michael Ashby: No, I think you said it, Carl, I mean, international is growing and one of the reasons for that is the Ericsson relationship. So I think we are very pleased with that relationship and it has the potential George in order to be quite large over time.
George C. Notter – Jefferies & Co.: Just qualitatively, what’s the feedback from customers that where EDA 1500 customers are they still buying that platform or they happy to see Calix I mean those assets now? Are they looking at buying the E-Series as a potential copper-based solution? Any sort of feedback you can have, give us on the customer side that would be great.
Carl Russo: Yeah, I’ll you the qualitative feedback George and that’s a good question. When we acquired the platform, obviously Ericsson had been messaging into their customers for sometime as to what they might or might not be doing. And so as you might image, customers get a little bit nervous. And so right now, I would characterize in the following stage to make sure that we get out to all of their customers and help them understand that the level of commitment we have to the platform and also help them understand or other wears if you will. But our first concern is to make sure that everything is stabilized and everybody feels good and I’d say that we’re right in the middle of that now and the feedback from that has actually been very positive. But you got to go work through it just as we did when we acquired Occam or acquired OSI.
George C. Notter – Jefferies & Co.: Got it. And then can you just give any sense for what the environment is like internationally in terms of our RFQs or RFP processes, for broadband infrastructure? Is it picking up, staying the same, slowing down what’s the view?
Carl Russo: So we’ve heard all sorts of different things and the only way I can answer your question George is to put it into a perspective of where we are coming from, which is, all the world's an oyster. The global expansion for us is all new. So I can’t tell you whether the tied is up or down way up at the top. All I can tell you is, we’ve got lots of the opportunities for us and I don’t know how to comment on the rest of it.
George C. Notter – Jefferies & Co.: Great. Thank you very much.
Carl Russo: You bet, George. Thank you.
Operator: Thank you. The next question comes from the line of Sanjiv Wadhwani with Stifel. Please proceed with your question.
Sanjiv Wadhwani – Stifel Nicolaus: Thanks so much. Michael, just a quick question for you on gross margins, I know you said product mix help, but there is also customer mix element over there. I was wondering if you could just give some more details on the customer mix aspect of it. And then on Broadband Stimulus obviously it looks like it’s been trending slightly below 10% of revenues you kind of alluded to that your expecting it to remain that that same level perhaps through the middle of 2014, I’m just curious, I mean there is no sort of visibility and that getting bigger obviously as a revenues expand and its sort of about 10% and just get bigger, but just curious so what are the expectations are for the next year or so that peace of business. Thanks.
Michael Ashby: Okay. Okay. On the customer mix, that's related to the fact that we have, we've seen the Tier 3 customers, the regional customers, as I said starting to stabilize and grow again, and we have pretty good margins in the regional and Tier 3 accounts because of the type of products we're selling. And so, that helps, that helps improve the overall margins. So, in this particular quarter we had a good mix of customers that are buying a fairly, you know, good products at reasonable margins, high margins. That helped us out for the quarter, that and the product mix relating to the overall increase in the E-series, as a percent of total product being sold. As far as broadband is payment is concerned I expected to just chug along basically the same rate, don’t think it’s going on to change very much its happen to the last two, three quarters and it’s going to remain under 10% and will slowly decline, I expect the majority of it to be recognized and in the second half of 2013, but some going through in to 2014, but there is not going to increase if the majority of what is rather in deferred revenue or not shift yet and to say it’s going to go along and brought for the same level for the next few quarters.
Sanjiv Wadhwani – Stifel Nicolaus: Got it, that’s helpful. Thank you.
Operator: Thank you. The next question comes from a line of Asia to Ehud Gelblum, with Morgan Stanley. Please proceed with your question.
Ehud Gelblum – Morgan Stanley: Thanks. Couple of questions, first I let go back to the international revenues and Ericsson, I was just a little confused, so is the growth international as quarter is that related to the Ericsson acquisition and the products that came from there or is it completely legacy, and if you hadn’t closed Ericsson last year you’d still be up in the international just wanted to confirm that.
Carl Russo: So the answer is again, we’re not going to break out the pieces, but you can assume its parts of both we’re seeing strong success and what we were doing and we’re seeing strong interest in success with Ericsson as well.
Ehud Gelblum – Morgan Stanley: Okay, so will be safe to assume that Ericsson that last quarter had issues and few more issues this quarter and probably with that that revenue stream was up this quarter?
Carl Russo: Yeah that cloud is lifting.
Ehud Gelblum – Morgan Stanley: Okay, that’s positive. Now is that related to the E-Series front you saw or is the E-Series front you saw that first gross margin related more essentially.
Carl Russo: The E-Series as Michael said was stronger than an anticipated, but I would tell you that was stronger than anticipated across all segments and customers not related to any one channel or segment actually. Michael?
Michael Ashby: That is correct, and that strength was in across the board primarily North America, but across the board couple of customer segments.
Ehud Gelblum – Morgan Stanley: Okay. Okay. I mean, the Ericsson product obviously, BLM, is not the E-series, but what I meant was whatever you're getting internationally through Ericsson, etc., you're selling E-series as strong internationally as you are in the US? But it sounds like now, what Michael said, is much more of a US thing than it is an international thing?
Carl Russo: Sorry Michael you go ahead.
Michael Ashby: I’m saying North American, because obviously that’s the larger part of our business, so but we’re, we sell the E-Series product to Tier 2s and to 3s international as well and through Ericsson. So, that is also contributing to the growth of E-series. But it's only, you know, it's still a relatively small amount of the total revenue, obviously. .
Ehud Gelblum – Morgan Stanley: Okay, and then when you look at the -- I always kind of in the back of my mind, I always thought that when we move from the C7 to the E-series, do that more in Ethernet it became more of an international type of thing because Ethernet is kind of an internationally-liberating standard as opposed to more SONET-based products, that are not. So, in the back of my mind I always thought that E-series would help expand international, and so that's why I was kind of wondering if they were --
Carl Russo: Hold that for a moment if I can, because you are partially right, but I want to make sure that we are clear. E7 is a multi-service, multi-protocol system. So it dose SONET and Ethernet not just SONET. E7 has been deployed across all of those transformational networks. However, what you are correct in saying is, it’s an ANSI product. So for the most part it either goes into North America or North American-like markets and therefore to your point. As we go international, we are likely carrying the E-Series or the B-Series into those markets but not the C-Serious.
Ehud Gelblum – Morgan Stanley: Correct. Okay.
Carl Russo: You got it.
Ehud Gelblum – Morgan Stanley: I didn't say it exactly right, but that's sort of where I was going. And then finally, when you look at your Tier 1, it seems like Tier 1 actually grew this quarter and was a nice part of the revenue. You were flat total top line, quarter-to-quarter, so international grew, Tier 1 grew, what shrank on a quarterly sequential basis?
Michael Ashby: I'm sorry, I don't think, I don't believe anything shrank, Ehud. I think we had some strength across the board. I mean, there are some customers that increase more than others from any one quarter to the next, but there's no area of the business that saw any particular weakness during the quarter.
Ehud Gelblum – Morgan Stanley: Well I know, I mean, generally on a relative basis you didn't because Q1 is always obviously seasonally weak. Putting that aside, and so whatever did shrink probably shrank from a seasonal perspective but did seem from an absolute perspective that international was strong and Tier 1 I would imagine was up? Or maybe I was mistaken to mention it?
Carl Russo: No, Ehud, you're correct. I mean, international was up as a percentage and revenues were roughly flat from quarter to quarter, so therefore North America was down. That's a correct statement, but I think to Michael's point -- and again, when we think about it seasonally and obviously the seasonal trends are changing here -- we feel very good about the quarter, but to a mix standpoint, we clearly saw strength in international. But, when we look at it against what we traditionally have seen, North America was quite strong but as a percentage of mix it was less because of making room for international. That's correct..
Ehud Gelblum – Morgan Stanley: Okay. And then finally when you look at your guidance into Q2, how did you come up with that, did you look at regular seasonality so what type of seasonality did you played each part of the business? Or is this based on your sales funnel, how do you get comfortable with the move up into Q2, versus, perhaps saying larger and how does that fit in with last quarter of the conference call you kind of danced between the 20% growth rate for the year and a 15% growth rate for the year, I think you answered one of the questions and saying that, if you were to be in line to build better in Q1, then you’d probably be on the 15% growth for the year, but 20% was now the question. How does Q2 kind of dub-tail with that you still kind of believe in that?
Carl Russo: Yes, so let me give you just the shaping and then I'll turn it over to Michael for more details or color, if you would like, Michael. Real briefly, Ehud, as you know, if you look back at our numbers, we used to see the first quarter, then a step up to the second, sort of a sideways to Q3 and then a step up to Q4, and then you go into Q1 and you take a step down, and repeat. What we think we are seeing is something that looks much more linear and up and to the right throughout the year, so that's what we think we are seeing. So Michael, any color you'd care to add to that?
Michael Ashby: No, that's exactly right. Because the first quarter was flat with Q4 which is most unusual, and now we're looking – we've seen different seasonality this year for number of reasons. So process we do expect to see growth each quarter as we go through this year.
Ehud Gelblum – Morgan Stanley: Okay, so you think it could grow throughout the year. I'll let someone else tackle the full-year question. Thanks.
Operator: Thank you. The next question comes from the line of Amitabh Passi with UBS. Please proceed with your question.
Amitabh Passi – UBS Investment Research: Hi, thank you. I had a few questions. Michael, can you give us any sense what the E-series did, either or both sequentially and year-over-year? Maybe just in percentage terms, like how much growth?
Michael Ashby: That's not a number that we give out Amitabh. That's not something that we talk about. The only comment we make is that we have made in the past, it is the fastest-growing segment of the business and obviously that continued in this quarter.
Amitabh Passi – UBS Investment Research: Okay. Maybe another question for you Michael, and I think I asked you this last quarter, but wanted to ask again, if I look at your year-over-year revenue growth that's roughly 21% for the June quarter. You are guiding OpEx to grow 21% roughly as well. When do we start to see greater leverage in the model where OpEx growth can start to be slower than your revenue growth?
Michael Ashby: Our final OpEx which I think we’ve talked about before is to hold OpEx as flat as we can for the next few quarters. There is going to be an increase as I said of around $1 million in Q2 which reflects the variable compensation and then the general increase for the population the employees that went into effect from April. But from a headcount point of view, we are holding things essentially flat, so I expect to see very, sort of low growth in OpEx as we go through the remainder of this year. And as we just mentioned, we do expect to see the revenue continues to go each quarter. So we’ll start to see that leverage improve at each quarter as we get through the remainder of the year.
Amitabh Passi – UBS Investment Research: Okay. You previously have also talked about double digit growth for the full year, I was curious if I looked at your 10% plus customer, would you expect them to grow in line with your total company growth rate this year better or lower?
Michael Ashby: Well, that's difficult to answer, but we are as you know, now selling into the what was the former Qwest side of CenturyLink, so the potential is certainly there for that to grow faster than the average..
Amitabh Passi – UBS Investment Research: Okay and then just one. Sorry go ahead.
Michael Ashby: We expect it to grow.
Amitabh Passi – UBS Investment Research: Perfect. And one final question for you Carl, I’m just curious, last year when Google started rollout in Kansas City, everybody perceived that to be an experiment, and since then we’ve seen them announce a couple of other cities. I’m curious as you have your conversations where do your customer base, your Tier 1, Tier 2, Tier 3. I’m curious people starting to know what Google is up to, are you starting to sense maybe an increasing need to up their capital investment plans. Just any sense of, just kind of the reaction to what Google is doing in a marketplace?
Carl Russo: Yes, I think there's multiple reactions. Let me just boil it down to our perception of it, which is any time you have people talking about a richer portfolio of services provided at speeds that frankly require fiber to either get right to the premises or very close, we think it advantages us, our unified access architecture, and a whole fiber-forward stance that we've had since the inception of the company. So, truthfully I think it's wonderful..
Amitabh Passi – UBS Investment Research: Okay, thank you.
Operator: Thank you. (Operator Instructions) Our next question comes from the line of Simon Leopold with Raymond James. Please proceed with your question.
Simon Leopold – Raymond James : Great, thanks a lot. Couple of things I wanted to clarify, I know you don't like to give a firm breakdown of products, but I’d like to try to get a ballpark idea of the E-Series contribution and I'm assuming we are now above 25% of revenue, is that a reasonable assumption for the March quarter?
Carl Russo: So I appreciate you are asking Simon, but we won't break it out, let's go down a different path. Clearly it’s going to Michael’s point faster than any product that we have seen. By the way the reason it’s growing faster than any product we have seen is it architected in E7-20 to be a 2 terabit architecture. So when customers are looking not just that higher speed copper, but through that to fiber quad services video, wireless, wire line integration, that architecture is we think the killer architecture. So it's going to be continued to be pulled through. Sufficed to say that if you remember way back when we said we would comment on it up until as we came greater than 10% contributor, it's well passed that many quarters ago.
Simon Leopold – Raymond James : Okay. So let's go back to the Qwest progress. So last quarter you only really had a few weeks of contribution into that Qwest footprint, is there anything you can give us that would help us quantify the deployment in this quarter and maybe a way I’d like to see if you could help us is if you were to linearize the contribution in the fourth quarter basically so you get a quarter-over-quarter pro forma I'm assuming you were up sequentially in the March quarter if that question makes sense?
Carl Russo: I understand the question, but again, I would just harken back and say we anticipate growing this business, as we settle along. The barriers to entry into those properties come down, which they have, because of all the work on OSMINE and IT integration, etc., and we anticipate it growing And that's exactly what it has done. Beyond that, I would not care to comment.
Simon Leopold – Raymond James : Let me ask you a slightly different question that may be as easy, do feel as if you’re gaining market share at that customer.
Carl Russo: I don’t know, you got to look at their CapEx, investments et cetera. I feel we’re strategically aligned and that we continue to demonstrate that with the customer and that we continue to grow our business. I can’t speak to the other part of it.
Simon Leopold – Raymond James : Okay and let’s shift gears then international good quarter, nice percentage of revenue but I’m conscious that, that could be lumpy. How do you think about international contributing in the June quarter, should we think about that as being lumpy or is this a new level that we should see as more sustainable?
Carl Russo: Well I think as we have said to your point, we expect it to slowly but surely go up into the right. It will do so in a noisy fashion, so it’s more like a “leasy square” fit on a dotted line. I would characterize Q1 as a very encouraging quarter and we are encouraged as we look through into the final and the opportunity and that this will continue but I would be hard press to plan it out on our linear basis. Michael?
Michael Ashby: Yes, I agree, Carl.
Simon Leopold – Raymond James : And is there any color you can give us in terms of the level of customer diversity or concentration of that international business.
Michael Ashby: I’m not sure I followed the question Simon.
Simon Leopold – Raymond James : I guess what I’m trying to get a sense of is the growth we saw in this quarter led by let’s say one large project or many small ones?
Carl Russo: A mix of all of the above. We're seeing more pins on the map as we alluded to in our prepared comments from a new customer basis as well as some larger pieces as well; it’s actually a good mix.
Simon Leopold – Raymond James : And so for the full-year you expect international certainly could be over 10% than if we take that commentary into perspective for the year?
Carl Russo: Michael?
Michael Ashby: Yes, I would hope so.
Simon Leopold – Raymond James : Great, thank you very much.
Carl Russo: Thanks, Simon.
Operator: Thank you. Our next question comes from the line of Simona Jankowski with Goldman Sachs. Please proceed with your question.
Simona Jankowski – Goldman Sachs: Hi, thanks very much. I wanted to follow-up once again on the source of upside to gross margin in the quarter, and I understand your comment on the E-Series increasing the portion of the mix, was there also an element of change in the mix of chassis versus blades?
Carl Russo: So the answer is – sorry Michael, do you want to take that.
Michael Ashby: Go ahead, Carl.
Carl Russo: Obviously I would never break it out in that regard; I think the answer to the question was that we saw favorable product and customer mix. Michael, any additional things that you want to add on cost reductions or anything else?
Michael Ashby: We don't necessarily track blade and chassis mix. I don't see any changes in what's happened in Q1 versus any other quarters. But we also did have some cost reductions, manufacturing cost reductions that came that helped in that line and so that was a combination of factors that enabled us to have it, but we were pushed as higher than we would expect with a favorable product mix primarily.
Simona Jankowski – Goldman Sachs: Okay. A separate question, is there a sense you can give us at this point of what percent of your business is Tier 1, which I guess you would be CenturyLink versus Tier 2 and Tier 3 customers?
Carl Russo: Last year that within the 10-K of course, we gave the percent for our largest customer CenturyLink which was, I believe 19%, 21%, sorry 21% for 2012. And that's the only Tier 1 customer that we have, obviously.
Simona Jankowski – Goldman Sachs: And then between the Tier 2 and Tier 3?
Carl Russo: Again that’s not a number that we give out, but I think what we have said in the past was that Tier 3 is normally represent – have historical represent between 55% and 60% of the total revenue.
Simona Jankowski – Goldman Sachs: Okay, got it, and then the last question, kind of a specific on the Tier 2 segment. A couple of those guys, Frontier, Windstream, have indicated CapEx being down this year. Should we think of your business there kind of tracking more or less in line with their overall CapEx trajectory, or do you have any specific projects that you’re involved and that you think can help you outgrow that?
Michael Ashby: Well, I don’t think we are immune to any growth CapEx changes in our customers where we are well established, but having said that, we’re encouraged by the progress that we’re seeing across all of our customers, including the Tier 2 segment.
Simona Jankowski – Goldman Sachs: So in other words, directionally, if we were to think about the upside to your business this year, it sounds like CenturyLink because of the Qwest expansion and then the Tier 3 because of the normalization there of the environment, should be more of a source of upside relative to the Tier 2s given their declining CapEx, would that be fair?
Carl Russo: That is likely true. Michael.
Michael Ashby: Yes, I agree I think that’s probably fair enough.
Simona Jankowski – Goldman Sachs: Okay. Thank you very much.
Carl Russo: Thanks Simona.
Operator: Thank you. (Operator Instructions) It appears there are no further questions at this time. I would like to turn the floor back over to Mr. Allen for any closing comments.
David H. Allen : Thank you, operator. Once again I want to thank all of you for joining us today. We hope you can join us at one of the three upcoming investor conferences in the month of May that will be participating in, the Jefferies 2013 Global TMT Conference in New York on May 7, the Raymond James Semi-Annual Investor Conference in Boston on May 9, and the Cowen & Co. 41st Annual Technology Media and Telecom Conference in New York on May 29. Information about these conferences is available on the Investor Relations section of calix.com. Thank you again for joining us today, we remain focused on executing against the opportunities ahead of us. And we look forward to speaking to you at one of these forums. Good bye for now.
Operator: Thank you. Ladies and gentlemen, this does conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation.